Operator: Greetings and welcome to the First Foundation's First Quarter 2022 Earnings Conference Call. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be open for questions following the presentation. [Operator Instructions]. Speaking today will be Scott Kavanaugh, First Foundation's Chief Executive Officer; Kevin Thompson, Chief Financial Officer, and David DePillo, President. Before I hand the call over to Scott, please note that management will make certain predictive statements during today's call that reflect their current views and expectations about the company's performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement, including today's earnings release. In addition, some of the discussion may include non-GAAP financial measures. For a more complete discussion of the risks and uncertainties that could cause actual results to differ materially from any forward-looking statements and the reconciliations of non-GAAP financial measures, see the company's filings with the Securities and Exchange Commission. And now I would like to turn the call over to Scott Kavanaugh.
Scott Kavanaugh: Hello. And thank you for joining us. We would like to welcome all of you to our First Quarter 2022 Earnings Conference Call. We will be providing some prepared comments regarding our activities, and then we will respond to questions. Let me start by saying a few words about how proud I am of everyone at First Foundation. The results we reported today are a testament to the hard work from everyone in our organization. The past few years has posed some interesting challenges for everyone and yet we continue to generate strong, sustainable results quarter after quarter. This was another great quarter for First Foundation and a fantastic start to the year. Our earnings for the first quarter were $30.8 million or $0.55 per share. This represents 38% increase over the first quarter of 2021. Total revenues were $89.9 million for the quarter, 36% increase from the first quarter of 2021. Tangible book value per share ended the quarter higher at $15.21. We declared and paid our first quarter cash dividend of $0.11 per share, which we increased last quarter. We also received authorization from our Board of Directors to purchase up to $75 million of our company's stock. The favorable results we reported today reflect the strength of our institution and our continued positive outlook that our market model is working very well across the diverse and dynamic markets we serve. Loan originations continue to be at near record levels with $1.1 billion in new loans for the quarter. 42% of those origination's came from C&I. MPAs remain low at 16 basis points for the quarter. As our lending team does a fantastic job maintaining our high credit standards. We have established a well-balanced loan portfolio that continues to perform very well. Dave will touch more on this later in the call. Our deposit profile remains attractive with core deposit at 99% of total deposits. Deposits increased by a $146 million in the quarter. And our loan to deposit ratio was 88% at the end of the quarter, driven in part by our ability to continue to attract high-quality commercial clients. All of this speaks to the strength of our deposit team. Our Wealth Management and Trust businesses continue to provide meaningful contributions to the success of the firm. Assets Under Management ended the quarter at $5.5 billion, largely due to volatile market conditions in the first few weeks of the year, yet rebounded in the last 30 days and to start the second quarter. The all-weather portfolios we manage for our clients fared well as the 4% decrease in total assets was less than the 5% decrease in the S&P 500 and the 9% decrease in Nasdaq. An important part of our wealth management offering is our in-house investment management capabilities. And prior -- proud to share that the performance of our mutual fund has been very strong with our total return fund earning a morning star five-star rating and coming in as a top percentile performing fund for the year. Even amidst all the volatility and changing market conditions, our pipeline continues to be strong and the demand for our wealth management services is at an all-time high. Last quarter, I referenced the many projects we're working on, including the acquisition of First Florida Integrity Bank, which will be complete when we take the final step and converting our core systems in May. This has been a tremendous effort by the team and I am so grateful for everyone who has worked hard to make this happen, including all of our new colleagues in Florida. We are also now just weeks away from opening the doors of our new branch in Plano, Texas. Starting a de novo branch is never an easy feat. But again, our team did an amazing job and we're really pleased at how it turned out. It's very exciting to have a retail presence in Texas. Even as many of these projects near completion, we continue to invest in technology for the benefit of our clients and to enable our employees with solutions they need to meet client demand and provide exceptional client service. We're also investing in our compliance efforts, including adding people and systems to ensure we continue to exceed the expectations of regulators and our ever changing environment. In addition to expanding our footprint, adding to our technology stack, and the building out of our teams, we have also expanded our product offering. This includes 1. our recently revamped SBA lending offering, 2. our expanded investment management offering, and of course 3. our efforts with Fiserv and NYDIG to bring midpoint into banking. These additional. High-quality Financial Solutions, are enhancements to our already robust offering, and are important as we deepen relationships with existing clients. Many of our clients turned to us for a variety and their financial needs, especially when we're viewed as their primary bank of choice, when it comes to their financial life. As we look ahead to a rising rate environment and perhaps even a transitioning economy, First Foundation remains well-positioned with a strong balance sheet and excellent credit demand for our services. Is that peak levels and our pipelines across all business lines are very robust. I'm very grateful for all that we have accomplished in the quarter, and 2022 is off to a great start. Now, I will turn the call over to Kevin, our CFO.
Kevin Thompson: Thank you, Scott. Earnings per diluted share was $0.55 in the first quarter. The return on assets was strong at 1.18% with a return on tangible common equity of 14.7%. As a result of this good momentum, our tangible book value per share increased to $15.21 in the quarter. These were especially good metrics considering our first-quarter generally has higher compensation expenses related to payroll taxes and bonuses. And we're carrying some duplicate merger-related expenses until systems conversion in the second quarter. The net interest margin contracted 17 basis points to 3% in the quarter because of high average cash balances from the success we have had in increasing core deposits and from the acquisition of TGR Financial. We've already begun to deploy much of that liquidity with our strong loan growth that continues into the current quarter. We maintained discipline in loan production with the average yield on loans increasing four basis points to 3.84%. At the same time, we were able to maintain our cost of deposits at 15 basis points for the quarter. We transferred 917 million of available for sale securities to held-to-maturity during the quarter since we have the intent to hold these securities through maturity. Credit metrics remains strong in all our loan portfolios and the allowance for credit losses for loans decreased slightly to 44 basis points of total loans. This decrease was primarily a result of the payoff of purchase credit deteriorated loans from specific reserves from prior acquisitions. Non-performing assets remain low at 16 basis points to total assets. Asset management fees were strong with revenues of $10.2 million and our Advisory and Trust divisions achieved a combined pre -tax profit margin of 21% in the quarter. Assets under management to FFA ended the quarter at $5.5 billion, while trust assets under advisement of FFP were $1.3 billion. Other income included $1.1 million gain related to a sale leaseback transaction. This item is excluded from our efficiency ratio. Our non-interest expense increased due to higher compensation of benefits expenses mostly related to 20.5% increase in average FTE as a result of our acquisition in the fourth quarter. Also contributing were merit increases that were effective at the beginning of the year. As I mentioned earlier, our first-quarter generally has seasonally higher compensation expenses related to payroll taxes and bonuses. Finally, until we finish systems conversions of our recent acquisition in the second quarter, we are carrying extra costs associated with duplicate systems and some headcount. Efficiency ratio for the quarter was still strong at 53%. I will now turn the call over to David DePillo.
David DePillo: Thank you, Kevin. It was indeed a very successful start of the year for First Foundation. As Scott mentioned, we originated $1.1 billion in loans in the first quarter, another incredible quarter of loan production for us and the most we've ever funded in the first quarter of a year. Our commercial business lending accounted for a solid 42% of originations in the first three months of the year. We funded $482 million in C&I loans, which represents a 90% increase in C&I loans compared to the first quarter of last year. Our ability to continue to diversify our loan portfolio without compromising credit quality is a testament to our entire team. 49% of our C&I loans in the quarter were adjustable commercial revolving lines of credit, which continued to be a focus of ours over the past few years, and shifting the balance sheet to more rate neutral. The remaining C&I originations were comprised of $125 million of commercial term loans, $76 million of public finance loans, $28 million of equipment finance loans, and $15 million of owner occupied commercial real estate loans. As a percentage breakdown, our composition of our loan originations during the quarter is as follows: Commercial 42%, Multifamily 48%, Single Family 5%, Land and Construction 2% and 3% in Other. We accomplished this without changing our high underwriting standards and the loan pipeline remains very strong heading into the second quarter. And in addition, it is worth noting that even with a high level of originations in the first quarter, we achieved a rated -- average interest rate of 3.36 on originations compared to 3.38 in the fourth quarter, or only a drop of two basis points. We will start to see additional yield on loan originations going into the second quarter as our rate locked pipeline funds out and we start funding loans at higher yields. As the long end of the curve has continued to rise. As of March 31st, our loan portfolio balances held-for-investment consists of 42% multifamily, 29% commercial business loans, 9% non-owner occupied commercial real estate, 12% consumer and single-family, 2% Atlantic construction, and 6% of multifamily loans held for sale. Of note, our commercial business loan balances increased approximately 56% year-over-year, which reflects our continued focus on commercial banking and our pipeline is very robust due to market conditions. It's also noted that our lending activity across our new markets are gaining traction as we originated $84 million of loans in the quarter in Texas and Florida combined. Both of these markets now make up a combined 17% of total loans and we see great potential going forward. The diverse composition of our loan portfolio coupled with an increasing diverse geographic makeup positions as well for changing economic conditions. For a bank of our size, we have an incredibly diverse geographic footprint that should benefit us as we are able to pivot towards focusing on geographies that are experiencing greater potential for growth, such as the case for right now for Florida and Texas. As we look ahead at our pipeline and loan portfolio, we are evaluating economic attractiveness of continuing our systematic third quarter while on sale. While they have been an important part of our business model and years past, we have elected to defer that sale for now and are contemplating a potentially more attractive strategy of allowing our loan balances to grow. Given our size and current market conditions, we believe that it would be a greater economic benefit by increasing in the loan portfolio rather than conducting an agency sale. That said, we will continue to keep our options open for future sales. Our deposit business also experienced a strong quarter with an increase of $146 million during the first quarter of 2022. To end the quarter at $9 billion, which reflects the 2%, growth over the last quarter and a 43% increase compared to the first quarter of 2021. A $146 million of growth in deposits during the first quarter of 2022 included increase in commercial deposits service group of $27 million, retail branch deposits of $145 million, offset by a slight drop on our online banking deposit $26 million. It is also worth noting our deposits held steady at 15 basis points and our loan to deposit ratio had ticked up slightly as we have started to deploy our excess liquidity into loans. All this success in the quarter could not have been achieved without the great team we have in place. I am so grateful for their dedication and hard work. At this time, we're ready to take questions. I will hand it back to the Operator.
Operator: [Operator Instructions] Our first question is coming from David Feaster with Raymond James.
David Feaster: Good morning, everybody.
David DePillo: Hi David.
David Feaster: I just wanted to follow-up on the commentary about maintaining not doing the securitization and holding that on the balance sheet. Could you just talk through some of the strategy there? And then your ability to continue to maintain the deposit growth to fund, what's you guys have done on the deposit side has been phenomenal, but how do you think about your ability to continue to fund your strong organic growth, especially as you hold another $500 million each year on the balance sheet?
David DePillo: Sure.
Scott Kavanaugh : David, you want to take the loan side?
David DePillo: Yes. The interesting part about our last economics on our loan sales was at a record level, I think what was 4.5 points but we started to do analysis prior to that saying, where does it really make sense for us to just maintain loans versus selling them into the market? And as you're aware on an agency sale, we do get the benefit of the one-time gain, but we do have to hold risk-based capital throughout the life of those portfolios. And in a sense, if we earned, say, on average, historically, a couple of percent on sale, are we better off holding 3% plus in our net interest margin going forward? And the obvious the answer is yes because on average, those portfolios have a call it around a three-year plus average life. Our securitization average life has been about 3.5 years. So rather than a one-time gain, we can gain that spread income. It will diminish us a little bit within this year from not having that gain but next year, we'll have that additional spread income. So we've been evaluating this for quite some time. We will continue to strategically sell whole loans into the market which doesn't have the same capital issues that we face on a risk-based capital for doing agency-level securitization. But this is something we have been contemplating and certainly the gain on sale in this environment would be significantly less than what we saw in prior years. At this point, we've gone pencils down on that and whether we do it in the future, again, also depends on issues like funding. But with the overhang of cash we've had the ability to go out and collect deposit. Given the CPRs on the portfolio, we don't see any near-term funding constraints that will make it less profitable for us to hold those on our balance sheet.
Scott Kavanaugh : I think on the side, David, that we all concluded if you recall, part of it was loans to capital or multi-family to capital ratios and then our ability to outstrip -- our clients were outstripping our ability. And that's why we were doing that securitization more on the sides now but we don't think we really need that. On the deposit side, I would say that if you recall, I think last quarter, we talked about the fact that we had been -- when interest rates were zero and we had a loans-to-deposit ratio that was in the low 80s and then overhang was hurting them and we actually had to constrain some of our larger clients either by saying we can't take more deposit or we were tearing their relationships. So as Dave just said, I don't think we're going to have any issues there. We believe that there is leverage that we can pull that will allow us to take in greater deposits to even go back to some of our long-standing client relationships. So I think we feel pretty good that we can meet the demand that Dave just referred to.
David Feaster: That's great. And then kind of just thinking about how that might translate into the margin. Obviously, the liquidity drag weighed on the quarter. You guys have been active managing the balance sheet and deploying that excess liquidity with accelerating loan growth already above what you guys have done in the past given that you're going to retain those. I guess, how do you think about the margin as we look forward? And whether, I guess this would -- obviously, seems like it's going to be the trough and that we should see expansion going forward. And then just, any thoughts on updated rate sensitivity in light of some of the balance sheet moves that you've made with TGRF?
Scott Kavanaugh : Yeah, well, I would say you got two things going on right now. The Fed is going to increase rates here in the next week or so. All accounts are that it's going to be a 50 basis point increase. That's going to put a constrain on any bank that at some point, client relationships are going to come back and start to demand or request that their interest rates be taken up. That being said, one of our biggest issues has always been in the last year or so. We've had such an excess liquidity that we have and that has hurt our margin. As Dave just mentioned, our loan demand is still incredibly strong. We're putting it to work. I think we started the -- or ended the last quarter at 82% or 83%. We're at 88% at the end of this quarter. We hope to even have a higher loans to deposit ratio. But Dave, you want to talk to --
David DePillo: Sure.
David Feaster: -- the loan side and how the yield's where you expect to see?
Scott Kavanaugh: Yeah, I think looking at, looking at our now like you said, this should be the trough as we deployed a significant amount of cash and will continue through this quarter, will rebound. I think we will have a nice rebound in the second quarter. And maintaining that margin going forward is the big issue. The good news for us is the long end of the yield or middle to long end of the yield curve. At adjust relatively early. So as we have burned through our lower yielding pipeline since start to fund out at higher rates. In many cases on average probably 100 basis points higher than what we're doing in the last several quarters. We're going to start to see the effect on that on maintaining and potentially expanding margin. So having a very robust pipeline at higher rates and continuing to build up by point at higher rates. We'll hopefully offset any pressure we see on the funding side of the balance sheet. But as Scott says, if the Fed continues to move significantly and aggressively, there will be pressure and will all depend on what happens with the middle of the long end of the curve. But the good news is we fund assets at such a rate are able to remix our portfolio yield. I would say, faster than most banks account. 
David DePillo: I will add that in the last rate cycle, deposit betas were quite slow as you'll remember. It seems like the Fed is moving very quickly and you, you're spend see bank liquidity decrease fairly quickly as well. Still that passive Betas in this scenario may move a little quicker than we've seen. So we have a bit of that headwind for all banks, I think. Competition could remain tight as Scott mentioned and then also depends on how the bond market digest these rate increases and how the yield curve looks, and how this will perform. But we are, we have trended slightly more asset sensitive. We're still slightly liability sensitive in the first year and then asset sensitive in the second year in our kind of Scholastic academic modeling.
David Feaster: Okay that's helpful. And then you guys are working on a ton of really exciting things, I was just hoping that you could maybe expand on some of the new offerings that you talked about, the prepared remarks with the SBA and the investment management, what exactly are you working on there? And then just any updates on the I dig partnership and where we are with that roll out has obviously gone well, you've already written up that investment, but just curious as you've gotten deeper in that partnership where you starting to identify other opportunities and seeing any additional benefits from that relationship?
Scott Kavanaugh: David, you want to take the SBA?
David DePillo: Sure. As a bank strategically, we've been involved in [Indiscernible] 7A lending for the last I would say five or six years. But growing that to a larger, more significant footprint has always been aspirational for us. Because of some merger related issues that were going on, there is some available resources in the market that we were able to take advantage of. So we opportunistically have hired a new best production and are adding additional sales force to expand those offerings across our entire footprint. And really our Florida operation never really had a viable 7A option. We certainly haven't really exploited that in Texas and we're now expanding now in California. So we see that as a significant growth area for us within our suite -- commercial suite of products. On the front of expansion what we would consider more of our fintech initiatives, the NYDIG relationship obviously is significant and important for us to prove out the concept that pick point can be facilitated through traditional bank rails and not necessarily in a less secure environment that majority of those transactions are happening today. We're very close to achieving our roll out on that product. We're working with our regulators to make sure they're comfortable and coming to the finish line on that. But there's -- given where our platform is and given our strategic relationship with our core provider, there's significant opportunities not only on the deposit side, but additional fee income side that we continue to explore with them that is heavily focused on providing services to fintechs that are out there that are really looking for strategic bank partnerships. And that market is very robust, deep, and it's very exciting. So we're looking beyond just the crypto world and are exploring a lot of opportunities that there's very few banks that are really taking advantage of it today and we feel that's going to be a great growth area for us going forward.
Scott Kavanaugh : On the investment management front, David, we have added our first employee as a relationship manager in Florida. We have also successfully received our trust powers in Florida. And I think our branch here in Texas opens in less than two weeks at this point. Our employees are going through training right now and we're on the final of getting them launched at which time we will be seeking trust powers and taxes. So I believe we're about to onboard our first trust relationship in Florida, and we've received quite a few requests for proposal on investment management. And every one of those leads has come out of First Florida integrity or TGR. So we're highly encouraged by that relationship that we've already got working with the folks in Florida. And so we're off to a great start, being able to do ancillary business both on the investment management and trust side. And by the way, when we did all the modeling of our two companies coming together, never did we contemplate having any of those relationships in place, nor would it have an impact monetarily. So it only further adds to the benefits of having done that transaction.
David Feaster: That's great, great call, everybody. Thank you.
Kevin Thompson: Thank you, Dave.
Scott Kavanaugh : Thank you.
Operator: [Operator Instructor] Our next question will come from Matthew Clark with Piper Sandler.
Matthew Clark : Good morning, gentlemen. Maybe just to close the loop on the loan and deposit growth. I'm trying to get a sense for what you're budgeting in terms of deposit growth for the year, obviously trailed the strong loan growth this year, it sounds like the pipeline's pretty strong as well and you've got some flexibility to take a lot of deposit ratio up further, but trying to get a sense for how you're thinking deposit growth might come through for the balance of the year?
Scott Kavanaugh : [Indiscernible], Matthew, because frankly the reality is, we've been curtailing deposit growth because we've had such an overhang of deposits. I mean, last quarter, I believe very close to it on average, we had about a billion two of excess deposits, which was a lot that they needed to put the work and we're going to wind up putting it to work, but it's one of those things that at the same time where you've got the Fed increasing rates and all those things going on. Right now, we're turning the spicket back on. But we also don't want to be at 80% loans to deposit ratio because it has added dramatic effect on our net interest margins.
David DePillo: One of the other issues we faced in the first quarter is that typically, our seasonal runoff in a lot of our large relationships. So the fact that we even had positive growth in our commercial depository services is a testament to how rich those relationships are. Usually, that's a negative and during this time of year. So going into those balances, we'll start rising and be available to offset some of the excess funding that we contemplate going into the second quarter. But as you always have noted, our ability to generate assets has never been an issue. Our ability to maintain deposit growth has always been our biggest issue and it will continue to be our biggest challenge going into this increasing rate cycle. However, having no real wholesale exposure unlike years passed and having solidified our presence in the commercial deposit side of the business over the last several years has really put us in a position for large-scale growth in the deposit side that we can -- as Scott had mentioned, we can moderate and temper as needed. So we feel good about -- even with -- expectations have even a much higher fundings and lack of loan sales, we feel good about our ability to keep our deposit growth somewhat commensurate. But are --
Scott Kavanaugh : Dave, can your point -- I mean, to your point, we were -- we're 99% million core funded right now. In the last cycle of high interest rates, we were 70% core funded and having to borrow on the margin. So I think to your point, we're in a much different position than we were the last time around. And we have a different luxury that we just didn't have last time.
Matthew Clark : Yes. Okay. Great. And then just on expenses, maybe for Kevin. It does seem like there's some excess in there in seasonality that should come out in the upcoming quarter. You got cost saves too from the deal, $44 million, $45 million seems like the right run rate going forward? But I want to make sure, I'm kind of in the ballpark.
Kevin Thompson: Yes. Some expenses are seasonal and there are excess expenses from the app, probably about a million or so from the merger in this quarter. However, you do need to anticipate that we will have growth going forward in as we're expanding quickly. We'll have growth both in our production areas as well as our support areas to support this growth engine. So we do anticipate our expenses increasing through the year, but our efficiency ratio remaining in the low 50% area.
Matthew Clark : Okay. And then Kevin, while I have you, just trying to hone in on a core margin. Do you happen to know the accretion contribution in the quarter from the deal, if any? And any other kind of unusual recoveries or anything like that might enhance that reported margins?
Kevin Thompson: Yeah, you bet. The accretion income in the quarter was $330,000. And of course, we talked in the release about the sale leaseback benefit of $1.1 million. We had an MSR adjustment down of about $200,000. Those are all the unique --
David DePillo: [Indiscernible] Our margin.
Kevin Thompson: Oh, not to -- you're talking margin. I'm sorry.
Matthew Clark : It's okay. I'll take those. I mean, we got the 11, but the 200 is helpful for.
David DePillo: Really. If you're just talking margin, I apologize. I misunderstood your question. It really just be the accretion income.
Kevin Thompson: Yeah. The recovery is through ACL.
David DePillo: That's right.
Matthew Clark : Okay. And then Scott, just on M&A. Your discussions of late and the prospect for maybe getting something done in Texas to kind of provide you that infrastructure that you might need.
Scott Kavanaugh : While we still continue to look in areas across the country, I would say that ever since bank stocks have gotten beat up a little bit it seems like it's gotten a little quieter. There were quite a bit of activity when I think all banks stocks were trading higher. But a lot of that has tailed off. Right now I'm not hearing much out of taxes. But we continue to look across Texas, Florida, California, anywhere that we think would be additive we continue to focus on. So we're looking for opportunities, but our stock value is depreciated a little bit relative to tangible book value. So I think that may be creating a bit of a muted scenario for M&A.
Matthew Clark : Understood. Thank you.
Operator: Thank you. Our next question comes from Steve Moss with B. Riley Securities.
Steve Moss : Good morning, guys.
Scott Kavanaugh : Morning, Steve.
Steve Moss : Maybe just circling back to Dave to your comments about loan yields year. There are 100 -- up about a 100 basis points, was that across the board or more specific to multi-family and commercial real estate? Just kind of curious there.
David DePillo: I think it's kind of on average, a 100 basis points is really across all product lines. So multifamily, say, within kind of the low three's and that's now in the low to mid four's, depending on where the yield curve is day-in and day-out. But we have seen kind of a 100 basis points rise on it on new, new pipeline that's coming in. And that's pretty much been across the board. The good news is, with the rate increases coming in, we are going to get the benefit of that segment of our CNI portfolio that's kind of been sitting libor based at a fairly low rate. But I would expect on average of about 100 basis points higher on new funding that's coming in. And that will start in the latter part of the second quarter as we kind of gradually worked through the rest of some of our lower yielding pipelines.
Steve Moss : That's helpful. And just maybe on the variable rate, just curious what percentage of portfolio assuming a large chunk of the C&I portfolio is variable rates, 4% of total loans perhaps is variable rate these days?
David DePillo: Last time I looked at, that was 19%?
Scott Kavanaugh : Yeah. 17% to 19%.
David DePillo: That's right. And that's been increasing but it's about 19% currently. To add on that, hope that excludes the -- those loans that have a fixed period if that these trends translate into variable over time. And in this rate environment, we'll probably see more of those graduate to the variable period over time.
Steve Moss : That's helpful. And then in terms of originations here, obviously very strong quarter here, just you guys indicated pipeline strong, just curious any updated thoughts as to how you're thinking about total originations for 2022?
David DePillo: Well, first quarter was stronger than expected. Second quarter will be much stronger than expected. Third quarter will probably be a little bit of an adjustment period. One is, as you know client skit used to new rates and we go through the normal summer time. So we'll probably see that dip to historical levels. And then we expect fourth quarter will probably -- typically is our strongest quarter. So at this point, we're looking at $4.5 billion is probably a low-end for us for the year given the current run rate. But based on current demand, we just could be higher.
Steve Moss : Alright, on the wealth management and trust side of the business, hear you guys in terms of good asset generation here, is this a good run rate for the fees there or if there's anything onetime in nature?
Scott Kavanaugh : I think the fees on average are still between 60 basis points and 65 basis points. That's always a reasonable measure, in terms of how you look at things. Obviously the markets have melted down. And that has affected our absolute balances. Not necessary on the trust side, near as much is on the FFA side. Our pipeline still remain robust, but I think if I were to look back at past times where the markets have had pretty big downdrafts, we go from being -- trying to bring in new business and we're always trying to do that. But there is also a real emphasis on calling clients on the fact that the markets are down 10%. So we spend an extraordinary amount of time. All I'm trying to say I guess is when you look at FFA and normal times, you're able to spend a lot more time focusing on generation of new assets. And a time like this, you're probably spending an equal amount of time conversing with clients that you've had for years, just trying to talk them through what the markets are doing. They've done an incredible job and they've put out a lot of commentary walking through what's going on in the marketplace with clients. But -- that's why you see the decline from 5.7 to 5.5. And then recently in the start of this quarter, there has been a downdraft again, but that being said, we're still adding a fair amount of new business, but we're also wanting to make sure stuff's not going out the back door either.
Steve Moss : Okay. Great. Thank you very much for taking my questions.
David DePillo: Thanks, Steve
Scott Kavanaugh : Thanks, Steve.
Operator: Thank you. Our next question comes from Gary Tenner with D.A. Davidson.
Gary Tenner : Guys, good morning.
Scott Kavanaugh : Hey, Gary.
Gary Tenner : Hey. So I wanted to ask on the SBA initiative. Are you thinking of that as a flow business for gain on sale or is that going to be more of a portfolio as you grow that?
David DePillo: So we've modeled it kind of what you would traditionally see, which is a little more sales as we build it. So maybe 50% in the market and then, we curtail it after a year or so back down to about 25% going to market. But after I think three years, the majority of it will be retained. So the way we look at it as we want it not to be an earnings drag as we build it. And having a little bit of gain on sale offset some of that operational costs, which will kind of get us to that net profitability fairly quick and then we'll start curtailing the sales down and use it more as a traditional portfolio product. That makes sense?
Gary Tenner : Yeah, it does. Thank you. And then to just on the annuals -- excuse me, the annual securitization that you're not going to do this year. Did I hear it right that even if you securitize the -- and I didn't realize it that you have to actually allocate capital to it for the life of the asset, even after you securitize it. So there's not really an impact other than not getting the upfront gain?
Kevin Thompson: That's correct.
David DePillo: That's correct. So and we do -- if we do all loan sales until the market, we don't have to hold requisite capital. So if we do some more timely sales, if needed, it won't have any impact on risk-based capital going forward.
Gary Tenner : Okay, that's helpful. Thank you. And then last question on my end, you talked a little a little bit about expenses. Can you talk about customer service costs as we're getting obviously you're -- what we think is pretty obviously front-loaded rate ICS. Is there a kind of quicker and steeper inflection on that line item as rates go up?
David DePillo: Yes. What we experienced as some of our larger clients expect more of a Fed funds tied relationships. So as the Fed moves, we have a model then that we're going to move somewhat commensurate some of the average realized Steeple lag fairly well, but some of the larger ones down. So we have modeled in some of the higher betas on some of the bigger clients our expectations are that line item will grow over the year. Do you we don't really give model guidance on that?
Kevin Thompson: We don't, but it's definitely these are more sophisticated clients with a higher beta than others won't be a 100% beta. We still have good relationships there, but expect a higher beta. The good news is that compared to wholesale funding, even if we have higher beta is that will be much cheaper tours and money.
Gary Tenner : Even if you don't provide specific detail, can you give us kind of the amount of deposits that are kind of reflected in that line item that we could model whatever deposit betas onto that we want to or pass-through assumptions?
David DePillo: Typically Yeah, typically, what we -- it's been around a billion dollars of funding that we've kind of had prior sensitivity to. These kind of drive it up there.
Gary Tenner : Thank you.
Operator: [Operator Instructions]. Our next question comes from Andrew Taro with Stephens.
Andrew Taro : Hey, good morning.
David DePillo: Morning, Andrew.
Andrew Taro : Back to the last one on customer service costs. I think I heard you about a billion or so of deposits. You'd kind of pay expense outline item. Is that relatively similar to, the balance back in 2018/2019, maybe we can use that as a proxy?
David DePillo: It was a little bit higher at this point back in those days, as far as those core relationships collectively.
Kevin Thompson: And I think it was about even.
David DePillo: Yeah.
Andrew Taro : Okay. Got it. All right. And then I wanted to ask on just -- I saw the $75 million buyback authorization. It sounds like the growth outlook is really robust. I guess that with that in mind, should we view the buyback as more of just nice to have out there to take advantage of any kind of volatility or -- maybe, Scott, could you just speak to the appetite for maybe getting more active in the buyback at these levels?
Scott Kavanaugh : Yeah. Well, based on our modeling, which was done higher than where -- the last time I looked that we were trading, we felt that it was very accretive to earnings. As you know, we did the sub debt offering, we have some excess capital. We've all along felt that we trade at less multiples compared to our peers and we're prepared to defend it. And I think it becomes very additive. So I want to just say, look, we're -- I think it'll be active as long as the stock price tends to be at this level or lower. We're prepared to act on it and that's what we're going to do.
Andrew Taro : Very helpful. I appreciate it. Last one maybe for Kevin, just any updated expectations on tax rate for this year?
Kevin Thompson: Yes. You've seen we've had some really good benefits in our tax rate over time. As we have growth outside of California, we'll see our tax rate decrease. We have other strategies going on, increase in our loan, some housing tax credits. We have our new Foley portfolio we inherited from our acquisition. And there are other strategies that we have and our working on. But the biggest driver is loan growth outside of California. And we are seeing that in our pipeline. So we will see it tick down. It won't be a huge move, but over the next several years we'll see it gradually move down.
Andrew Taro : That's it for me. Thank you for taking my questions.
David DePillo: Thank you.
Scott Kavanaugh : Thank you.
Operator: Thank you. This concludes our allotted time for today's question-and-answer session. I will turn the call back over to Mr. Scott Kavanaugh for closing remarks.
Scott Kavanaugh : Thank you again for participating in today's call. I'm very proud at how we started this year. All our business lines are doing exceptionally well and I'm very pleased about our ability to generate strong and stable results for our stakeholders. As a reminder, our earnings report and investor presentation can be found on the Investor Relations section of our website. Thank you and have a great remainder of your day.
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may now disconnect.